Operator: Good day, and welcome to the Chubb Limited First Quarter 2020 Earnings Conference Call. Today’s call is being recorded. [Operator Instructions] For opening remarks and introductions, I would like to turn the call over to Karen Beyer, Senior Vice President, Investor Relations. Please go ahead.
Karen Beyer: Thank you. And welcome to our March 31, 2020 first quarter earnings conference call. Our report today will contain forward-looking statements, including statements relating to Company performance and the impact of the COVID-19 pandemic and its economic and other effects, pricing and business mix and economic and market conditions, which are subject to risks and uncertainties, and actual results may differ materially. Please see our recent SEC filings, earnings release and financial supplement, which are available on our website at investors.chubb.com, for more information on factors that could affect these matters. We will also refer today to non-GAAP financial measures, reconciliations of which to the most direct comparable GAAP measures and related details are provided in our earnings press release and financial supplement. Now, I would like to introduce our speakers. First, we have Evan Greenberg, Chairman and Chief Executive Officer; followed by Phil Bancroft, our Chief Financial Officer. Then, we’ll take your questions. Also, with us to assist with your questions are several members of our management team. And now, it’s my pleasure to turn the call over to Evan.
Evan Greenberg: Good morning. We’re in an unprecedented moment of historic proportions. None of us living today has experienced an event of this nature or magnitude. It is at once surreal and catastrophic. As a country, we will manage through and heal both our society and economy, and it will take time. The decisive heroic actions taken by our health professionals in combination with the support and leadership of our federal and state governments, and our vast private sector and civil society are powerful force to combat the virus, stabilize our financial markets, support our economy, which remains in a virtual coma, and set the stage for recovery. The most important thing we can do now to achieve stability and health while reopening the economy is to improve our tests, digital trace and isolate capability. The insurance industry plays an important role in our economic foundation. During this health and economic crisis, we are shouldering our responsibilities and carrying our share of the financial load. This event impacts both the liability and asset side of our industry balance sheet. With that, I’m going to divide my remarks into two parts: First, our quarterly results, which were very good; then, I’ll provide some perspective on the current environment and how we are operating. To begin, as you saw from the numbers, we reported core operating income in the first quarter of $2.68 per share. The quarter was marked by very strong premium revenue growth globally and excellent underwriting results on both the published in current accident year basis. The calendar year P&C combined ratio for the quarter was 89.1% versus 89.2% prior year with P&C underwriting income up over 9.5% in constant dollar. On a current accident year basis, excluding cat, the combined ratio was 87.5%, a full point improvement over prior year with current accident year underwriting income up over 18%. The major difference between calendar year and current accident year underwriting income growth was a reduced benefit from the runoff of the ‘19 crop insurance year. You’ll recall, ‘19 was a difficult year for agriculture, while ‘18 was an excellent one. Book and tangible book value per share decline 5.5% and 7.5% respectively for the quarter, and Phil will have more to say about investment income, book value, cats and prior period development. Turning to growth and the rate environment. P&C net premiums grew 8.9% on a published or 9.3% in constant dollars. The commercial P&C pricing environment continued to firm across the globe. We secured greater market share as we achieved improved rate to exposure and more lines of business, and this unnecessary firming continued into April. Overall rates increased in North America commercial which includes both, major accounts and specialty, as well as middle market and small commercial by 10.5%. New business was up 27.5% in the quarter and renewal retention was 95% on a premium basis. Our North America commercial P&C business had a strong quarter with net premiums growth of over 10%. In major accounts and specialty commercial, excluding ag, premiums grew about 9.5% with major account retail growth of 7% and E&S wholesale growth of over 19%. In terms of rate increases, rates per major accounts were up 13%, and in Westchester and Bermuda, they were up 16% and 42%, respectively. Turning to our U.S. middle market and small commercial division. Premiums grew 11% overall with middle market up 9% and small commercial up over 40%. Renewal retention in our middle market business was 94.5%. Middle market pricing was up over 6.5% and excluding workers’ comp, it was up over 7%. In our North America personal lines business, net premiums written in the quarter were up 4.8% and retention remained very strong at 98% on a premium basis. In our international general insurance operations, growth remains strong with net premiums written up 10% in constant dollar and FX then had a negative impact of about 1.3 points. Net premiums for London wholesale business grew over 27%, while retail division was up over 8.5%. Growth in our international retail business was led by Latin America, which was up 13%, continental Europe and UK had growth of 9.7% and 9.1% respectively. And overall rates in our international retail business were up 8% and 18% in our London wholesale. Our international life insurance business had a strong quarter with net written premiums up nearly 30% in constant dollar. John Keogh, John Lupica, Paul Krump and Juan Luis Ortega can provide further color on the quarter, including current market conditions and pricing trends. But that’s ancient history and from another time. What’s important is to recognize the underlying strength and momentum of our Company, as we entered this moment. Turning to the current environment. The COVID-19 pandemic and consequent economic crisis will of course impact Chubb. Our growth momentum, particularly in our commercial P&C business globally continued into April and we continue to experience improved rates to exposure. As we go forward, offsetting that will be a meaningful impact to growth from the health and economic crisis as exposures in important areas shrink for a time with the impact varying by country. This includes consumer-related lines. For example, travel insurance, A&H discretionary purchases, automobile insurance, commercial lines where exposures are reduced while businesses are closed or as they reopen and are diminished or simply go out of business. Small commercial businesses in aggregate will be more impacted than medium, which will be more impacted than large companies, but it will vary substantially by industry. For credit-related products such as trade, credit, surety, and other lines such as workers’ comp, premium revenue will be impacted by reduced exposures. As you know, we do not give forward guidance and in this case, the degree of revenue impact is simply unknowable. On the other hand, as I said, we are and will continue to benefit in terms of growth from improved technical conditions as many insurance companies take actions to reduce exposures or improve their rate to exposure to correct for inadequate underwriting. This will be an earnings event for Chubb. It will not threaten our balance sheet. Operating earnings will be impacted predominantly on the liability side of the balance sheet from increased insurance claims, though the asset side will likely be impacted as well from increased asset impairments. In addition, as I just mentioned, earnings will be impacted by a reduction in premium revenues for a period of time. In sum, from what we know now, this will be a manageable cat-like event. However, from an exposure, we really don’t discreetly price for. So, its impact is additive to our normal projected loss exposure. In a sense, it’s like what terrorism exposure was before 9/11. We have a very strong balance sheet. Our capital and liquidity position are robust and Chubb will continue to operate at a high level and emerge strong or stronger. Again, insurance has an important role to play in society and in the economy, and we’re shouldering our share of responsibility while doing our job to support our employees, our customers, and our business partners. We have been quite clear about our priorities and it shows in our response. First, to the extent possible, we have taken care of our 33,000 people around the world and endeavored to keep them safe through aggressive work from home protocols. We’ve provided them a degree of peace of mind knowing their jobs and benefits are secure during the health crisis with a no layoff pledge. Second, we have remained consistent in how we take care of our customers and distribution partners doing what we can to support their needs. In fact, we are operating around the globe as a normal company during abnormal times. I am so proud and absolutely grateful for how my colleagues are performing every day as a group. From the smallest to the largest unit, from the biggest to the smallest country, how each is focused on delivering on our mission from internal operations to underwriting, sales, claims, marketing and finance, it’s really quite remarkable. We’re extending payment terms to commercial customers, recognizing their cash flow pressures. We’re providing a premium credit for auto policyholders in the U.S., recognizing their reduced exposures. We’re supporting our U.S., small business clients with premium reductions for their reduced exposures, and we’re supporting our small commercial clients by providing health care workers, and first responders the gift cards redeemable at our customers’ businesses. Lastly, as a corporate citizen, we’re contributing to the immediate emergency response today while supporting the future tomorrow. Our commitment of $10 million to pandemic relief efforts globally is being directed to a range of organizations that provide essential resources immediately in areas that facing the most acute need. This includes providing emergency medical equipment and supplies to healthcare facilities and helping community food banks support those who are hungry and vulnerable, including so many who’ve become unemployed as a result of the pandemic. This is only the first chapter. As we move into the recovery phase, the Chubb Foundation will commit substantial additional funds. In sum, our Company is very strong. Our balance sheet is in good shape. We are operating well. While I see pressure on revenue and earnings in the short term, I see much opportunity for us in the future. Given all of our capabilities, I am confident Chubb will weather these difficult times and emerge stronger from this challenge. With that, I’ll turn the call over to Phil and then we’ll be back to take your questions.
Phil Bancroft: Thank you, Evan. I want to begin with a few words on our financial position, which remains exceptionally strong. Our balance sheet includes a AA rated investment portfolio with a relatively short duration and conservative approach to our loss reserves. We have over $67 billion in total capital, which as we enter this period, is very strong, stemming from superior operating performance. Our access to liquidity on a global basis is excellent and unimpaired. Our operating cash flow remains quite strong and was $1.7 billion for the quarter. Net realized and unrealized losses for the quarter of $3.7 billion pretax included $2.2 billion from the investment portfolio, which resulted primarily from widening credit spreads in the investment grade and high yield bond portfolio through March 31st. Even after considering the valuation adjustments noted, our portfolio remains in an overall unrealized gain position through the quarter-end. Since that time, credit markets have recovered and liquidity has improved as a result of the extraordinary actions taken by the Fed in response to the COVID-19 pandemic. The portfolio mark has improved by approximately $1.7 billion pretax through this Monday. We also had a mark-to-market loss on a variable annuity reinsurance portfolio of $560 million. This was primarily due to negative equity returns and an increase in implied volatility. Again, this is purely a mark-to-market adjustment required because the transactions are deemed to be derivatives for accounting purposes and it does not indicate a reduction in cash flows from our reinsurance treaties for the quarter. The results are in line with our expectations, given these market conditions. Finally, realized-unrealized losses included $896 million after-tax losses from FX, related to our net asset exposure to foreign currency. These represent a point in time mark to market valuation adjustment and do not affect the capital position of our international operating units. As we noted in the press release, the marks are market price-driven based on the last day of the quarter and a moment in time. We believe they are largely transient and will accrete back to book value over time. Adjusted net investment income for the quarter was $893 million pretax and was within our guidance range. During March, we engaged on the margin in several tactical adjustments to the portfolio. We purchased a modest amount of high quality equities and modestly increased our exposure to investment grade corporate bonds. While there are number of factors that impact the variability in investment income, we expect our quarterly run-rate to remain in the range of $885 million to $895 million. Net catastrophe losses for the quarter were $237 million pretax or $199 million after-tax, including $224 million from global weather-related events and $13 million so far from COVID-19, which has been classified as an ongoing catastrophe. While there was no significant impact on core operating income in the first quarter related to COVID-19, the Company anticipates that this global catastrophe event will have an impact on revenue as well as net and core operating income in the second quarter and potentially future quarters as a result of an increase in insurance claims, due to both the pandemic and recessionary economic conditions. On a constant dollar basis, net loss reserves increased $363 million in the quarter and include the impact of catastrophe loss payments, favorable prior period development and crop insurance payments in the quarter. On a reported basis, the paid-to-incurred ratio was 95%. After adjusting for the items noted above, the paid-to-incurred ratio was 88%. We had favorable prior period development in the quarter of $118 million pre-tax or $94 million after-tax. The favorable development is split approximately 28% in long-tail lines, principally from accident years 2016 and prior, and 72% in short-tail lines. Last year’s favorable development of $204 million included $61 million of positive development from our agriculture segment resulting from stronger than expected results from the 2018 crop year. As we said at year-end, based on the difficult 2019 crop year, this level of development would not recur in the first quarter of 2020. Among the capital-related actions in the quarter, we returned $666 million to shareholders, including $340 million in dividends and $326 million in share repurchases at an average price of $143.67 per share. Given the current economic environment and to preserve capital for both risk and opportunity, the Company has suspended further share repurchases indefinitely. Our annualized core operating ROE in the quarter was 9.4% and our core operating return on tangible equity was 15.1%. Our core operating effective tax rate for the quarter was 16.3%. We continue to expect our annual core operating effective tax rate to be in the range of 14% to 16%. I’ll turn the call back to Evan -- I mean Karen. Sorry, excuse me. Karen.
Karen Beyer: Thank you. At this point, we’re happy to take your questions.
Operator: [Operator Instructions] And with that we’ll take our first question from Michael Phillips with Morgan Stanley. 
Michael Phillips: Thank you. Good morning, everybody. Thanks, Evan for your comments. I guess, the first question is going to be on the future impact on the wealth side from COVID in the coming quarters. And obviously without giving numbers, but maybe just where you feel Chubb is most exposed to that from I guess a geographic and coverage perspective?
Evan Greenberg: I’m not going to give any specifics in that. There’ll be -- it’ll come from a variety of areas, as we imagine right now. And there’ll be a -- the reason we didn’t put up numbers in the first quarter is because we’re going to do it in a thoughtful way, based on claims that come in, that are analyzed and reported, and then, we’re able to have a framework to project the IBNR with that in a thoughtful way as well. But, claims will come from travel insurance and A&H. We’ll have business interruption losses where we purposely provided coverage as opposed to where we -- the vast majority where we did not provide coverage. We’ll have it through credit-related that is surety and trade credit and maybe political risk, who knows. Workers’ comp will produce losses, I’m sure. And so, it kind of gives you a sense. And it’ll be -- I think it’ll be pretty broad based because it’s created exposures for clients, for the industries and the economies broadly. And geography, well, over half our business is in the United States. So, I expect all things being equal, since our greatest exposure is in the U.S. by territory, the greatest amount of loss will come out of the U.S. And I hope that helps you.
Michael Phillips: Yes, it does. It does. Thank you very much. I know, Evan, you’ve been very actively involved in task force and things that are happening here in the U.S. And I guess, clearly all the pressure from states on BI and states on workers’ comp and big restaurants that are in bed with [indiscernible] and things like that, all these different pressures in the U.S. And I’m not really looking for one expectation, but just your thoughts on how this all kind of shakes out, given all the different scenarios on how the pressure on insurance kind of unfolds and what to expect maybe as this thing kind of shakes out?
Evan Greenberg: The insurance industry is an important part of the financial plumbing of our economy in the U.S. And frankly, it’s part of the financial plumbing, it’s critical globally. The insurance industry I think is performing quite well and I think will perform very well in meeting their obligations and our obligations. When it comes to business interruption, there is activity that I put into two categories. One is on the political side where there’s talk about retroactively imposing cover on insurers for something that they didn’t cover and didn’t charge a premium. That is retroactively changing contract and increasing our exposure. I think that that’s unnecessary harm and would do great damage. It would damage or destroy the insurance industry in a terrible way. It would simply take money from one to give to another. Who does that serve? And frankly, it’s unconstitutional. And we are a constitutional democracy and preservation of that and the certainty of that in such uncertain times is paramount. So, I’d start with that. Secondly, the insurance industry, for the most part, except for those customers who discreetly purchased it, BI insurance doesn’t cover COVID-19. It covers and requires direct physical loss to a property. And the regulators who’ve approved these forms, because we’re highly regulated, confirm that themselves that it’s not contemplated. Now, lawyers and the trial bar will attempt to torture the language on standard industry forms and try to prove something exists that actually doesn’t exist and try to twist the intent when the intent is very clear and the industry will fight this tooth and nail. We will pay what we owe. And finally, what I’d say is business interruption insurance, actually we should remember, is very good value for money because what it does cover, we pay out as an industry roughly from what we can estimate about $0.70 on the dollar and every business -- for every business interruption, dollar of premium we collect in claims. And that’s pretty good value for money. So, thank you for the question.
Operator: And we will take our next question form Elyse Greenspan with Wells Fargo.
Elyse Greenspan: Hi. Good morning, Evan. My first question I guess picks up on the BI conversation a little bit. So, internationally, does this policy language typically follow the standard language within the U.S.? I guess, you did mention that you could see some business interruption losses from COVID. But, should we think conceptually that the same excludes -- virus exclusions would imply internationally as well as you attributed to within the U.S.?
Even Greenberg: Yes. Elyse, two comments. First, internationally, it follows the same pattern generally, which is, it requires direct physical loss to property as a trigger for BI. Number one. And then, number two, the exceptions to that for Chubb are where we purposely extended cover for different clients and different industries and purposely took on the exposure. And in those cases, it’s clearly defined.
Elyse Greenspan: Okay, thanks. And then, my second question, you guys suspended your buybacks indefinitely. And the language in the prepared remarks as well as your press release kind of attributed to seem like economic uncertainty as well as just having capital flexibility. We’ve obviously seen suppressed prices throughout the insurance space coming off of this COVID uncertainty. So, can you just kind of provide us little updates in terms of suspending the buybacks and how you think about just having more capital as well as the potential for some M&A here, given that valuations are much more attractive right now?
Even Greenberg: Elyse, when you look at the historic -- and let’s just look at this from a big picture perspective. We are in the worst economic event that we have faced as a nation and globally since The Great Depression. The economy is shut down. The opening of the economy is going to take time and it’s not going to happen in a smooth way, and no one knows for sure the shape or size or duration, no one knows with any certainty. And frankly, to be buying back stock at that time, to me is so clearly unwise. And the fiduciary responsibility is to our customers, our shareholders, our employees. And I think capital, strength of balance sheet, capital and liquidity are king in this environment. And those are attributes and strengths you can have enough of and very fundamental, very basic. And when there is visibility and there is certainty and we all have a better sense, then we will reassess.
Elyse Greenspan: Okay. That’s helpful. Thanks for the color.
Evan Greenberg: You’re welcome.
Operator: And we will take our next question from Paul Newsome with Piper Sandler. Please go ahead.
Paul Newsome: Good morning. Thanks for the call. So, first question, I was wondering if you could talk about how you might see a really fundamental change in the perception of risk. I think, it’s hard and soft, it’s happening because of underwriting, seeing risk change…
Evan Greenberg: I can’t really hear what you’re saying. Can you speak up, Paul and say clearly? Because we’re on a funny line right now. Yes.
Paul Newsome: My apologies. Hopefully that’s better. I was hoping you could talk about where you see the perception of risk changing in the insurance industry, given the current environment. Where do we see underwriters likely changing how they do underwriting and rethinking risk concentrations and such?
Evan Greenberg: Yes. First of all, we’re asking a question right now that is asking about what do you think of the results of the wildfire when we’re in the middle of the fire. This event is unfolding. And I would urge you to think that way. It’s not like it has occurred and now we’re looking back. We’re in the middle of it. And so, some of the implications, it’s too early to tell, don’t know. But, the one thing I will say, perception of risk, as always occurs when a new parallel rears its head from the more academic to the actual, it has a powerful impact, and impacts perception of risk. And in this case, the last time we had that was really terrorism. And now, in this case, we will go through in a similar exercise in some ways, underwriters will. It will vary by company, whether they actually had considered pandemic in their ERM modeling, which we do, or had not and really examine concentrations and how it impacts both sides of the balance sheet. And then, by the way how, we modeled and what the actual looks like, are always different. There is always basis risk. And reality is, it is always different than the laboratory. And this is no different. But, this is a peril that the industry really didn’t discreetly charge for. It’s a peril that has no bounds in terms of geography nor time. So, it’s a very different kind of cat, and that has in a practical sense, infinite tail. So, it will impact. By the way, no doubt in my mind, better underwriters had better control over the exposures. And underwriters who were maybe not as good will have many surprises that will emerge. And time will tell and we’ll see that as this event unfolds. I hope that helps.
Paul Newsome: That’s great. My second question, we’ve been focused very much on the business interruption issues, the political risks in the U.S. Could you speak to how that may differ outside the U.S.? I think just some of the basics. I think, sometimes you just don’t know how extensively it was included overseas and how the political situation may differ?
Evan Greenberg: Overseas, we’re not in any one country. Chubb is not a large middle market or small commercial writer. It’s a business we’re growing. And in most every jurisdiction, no different than the United States, small commercial and middle market customers have standard industry forms providing coverage in their country. They require direct physical loss. Most countries that I know of adhered that where there’s significant concentration of exposure to the industry, adhere to the rule of law and their forms are pretty darn clear. Large commercial customers, business interruption insurance is typically on a more manuscript basis. And so, each customer’s forms speak to a large degree for themselves. And in each jurisdiction, they’ll be adjudicated based on the wordings as they were drafted.
Paul Newsome: Thank you very much.
Evan Greenberg: And frankly, Paul, to-date, I feel more stability outside the United States on the regulatory and legal front than I do in the United States. The irony.
Paul Newsome: Absolutely.
Operator: And our next question will come from Mike Zaremski with Credit Suisse. Go ahead.
Mike Zaremski: First question, do you feel the COVID losses will impact your reinsurance covering, you’ll get some help from your reinsurance partners?
Evan Greenberg: That’s specific to each reinsurance cover or it’s very fact-specific we’ll say.
Mike Zaremski: Okay. My next question, if I look at the North America commercial segments,, and I heard your commentary about exposure on pricing being a 10% I think plus. And I’m looking at gross written premiums and the segment growing up a lesser, 6%. Is exposure shrinking in the North America commercial segment, trying to understand the dynamics there?
Evan Greenberg: North America commercial grew like 9%.
Mike Zaremski: Okay.
Evan Greenberg: So, I don’t know what you’re saying…
Mike Zaremski: So, still less than…
Evan Greenberg: Mid and small group, you can see double-digit; large account grew a little slower. And last year, we wrote a one-off transaction related to or two one-off transactions related to wildfire last year that didn’t repeat this year.
Mike Zaremski: Okay, got it. So, maybe some noise in there.
Evan Greenberg: But underlying that is -- it’s like really strong growth.
Mike Zaremski: Okay. I’ll just speak one quick one. And given you announced the no layoff policy for your valued employees and there will be top line pressure, should we expect a material spike in the expense ratio in 2Q?
Evan Greenberg: No.
Mike Zaremski: Thank you.
Evan Greenberg: That’s as far as I’ll go on forward guidance because I don’t give forward guidance, but no.
Operator: And we will take our next question from Greg Peters with Raymond James.
Greg Peters: So, on the call and in your press release, you reported $13 million of catastrophe losses related to COVID-19. Then, you made the statement saying this will be tracked as a separate ongoing catastrophic event. So, it is clear that there’s going to be losses and revenue. And I’m -- revenue hit and losses related to this. Is the tracking that you’re going to provide going to give us color on both? And then, maybe you can dovetail that into the accounting geography of your announced premium reduction programs in the interim U.S. small business to personal lines, et cetera.
Evan Greenberg: Yes. I’m not going to give you much satisfaction on that question. But the -- nice try. The loss part will be tracked -- you're doing your job. The loss part will be tracked as part of cat. And that’s what we report as cat. The revenue reduction from exposures, et cetera, those will just come out in our published numbers. And we’ll give you as much color as we can around it as we understand it or know it. We don’t see it yet. But, we know it’s coming. You can’t have an -- I mean, it’s common sense. You can’t have an economy shutdown and exposures aren’t shrinking and premium is a function of rate to exposure. So, just pretty basic there. And that’ll just be on a published basis. But what we call as cat and assign to cat number is to corral the losses and distinguish them from this for the cat event from what we would think is the underlying sort of run rate at the time.
Greg Peters: Got it. I had to try…
Evan Greenberg: I gave you a framework. And I think that that’ll help you.
Greg Peters: I understand and I do appreciate it. So, I guess, my second question, the investment market has been clearly thrown into chaos. And so, I was curious, if you could comment, one -- and I know you guys did provide some color on the opening comments, but just some additional color around how your approach to investing is going to change? And then, maybe also dovetail in on the life insurance business, because a lot of that business is spread-based business. And with interest rates at near zero, I got to imagine that the outlook for those types of business is under a great deal of duress.
Evan Greenberg: Remember, I’ll just answer the life insurance part quickly for you. Our life business is not in the United States, it’s in Asia. It’s savings and protection related and very strongly protection related. And the interest rate environment is quite different. It’s -- and the minimum guarantees you provide are extremely low. And you can see we publish it to you, our earnings on the international life business are pretty good, grew nicely. On the investment portfolio, I’m going to ask Tim Boroughs, our Chief Investment Officer to give you a little more color. But fundamentally, the changes we are making in investment activity are tactical and not strategic and the fundamentals remain in place. Tim, you’re on?
Tim Boroughs: Yes, thanks. Maybe put a little context around this. As you watch the Fed, their response to the markets has been, I think very impressive. It’s been large and historic and it included the purchase of corporate bonds, both in the investment and the high yield sectors. So, I guess, one way, you might think about our portfolio is that the Fed is buying or supporting the financing over 80% of what we own. So, I think in that regard, we are in good shape. As Phil mentioned in his commentary, we have made a few tactical adjustments to our portfolio. I think this is advantage of the dislocations that occurred in March with liquidity, and that included corporate bonds and equities. And as Evan mentioned, overall, I think that there’s -- there remains too much uncertainty on how the virus will progress and how quickly the economy recover to make any significant moves off our current allocation.
Operator: And next, we will here from Meyer Shields, KBW.
Meyer Shields: We’re hearing a lot of I think very legitimate opposition to changing definition of business interruption exposure. And it seems like a lot less concern over expanding presumptions of kind of feasibility within workers’ compensation. Is that a fair read? And should we expect that difference in attitude to persist?
Evan Greenberg: Say that again Meyer, the second part. Will you repeat the question for me?
Meyer Shields: Okay. There is a lot of I think completely appropriate opposition to retroactively changing the exposure on business interruption policies. But, I’m not hearing that much pushback from insurance companies about the fact that workers’ compensation, presumptions are changing a lot of states. And I understanding the sort of emotional component of that, but from an economic standpoint, how are you thinking about that change in exposure?
Evan Greenberg: Yes. Meyer, a very right line decision that should not confuse anyone, business interruption insurance, not the regulatory, the political activity around it where there are those who are suggesting to retroactively change contract and add coverage that was never contemplated, nor charged for, is very different than the workers’ comp where I think you’re referring to healthcare workers and first responders where there is the notion of presumption that you got the virus on the job. That is not a change of contract. That is something perfectly within the purview, depending on the state of the regulators and the legislatures. And so, that’s within legal bounds to do that and so, very, very different. And I wouldn’t confuse the two. And by the way, it varies by jurisdiction. Some jurisdictions right now have all along said that that a medical worker, for instance who contracts an illness, it is presumed to have occurred on the job, whereas in other -- and for any other profession, it’s construed to be a general illness. You could have gotten anywhere. And so, it’s not job-related. So, workers’ comp is very different in that regard.
Meyer Shields: Okay. Thank you. That really helps illustrate the difference.
Operator: And next, we’ll hear from Brian Meredith with UBS. 
Brian Meredith: Yes. Thanks. Evan, so, just curious, understand the implications for exposures here going forward. Do you think any impact on pricing going forward, be it -- will companies lax up a little bit on pricing, given the economic strain or is it going to go the other way given potential increase in exposure?
Evan Greenberg: I think that the industry has woken up to rate to exposure in the last year in particular, last year and a half and understands generally the need to get paid for properly for the exposures take on. I don’t see that trend changing. And I think this event is very likely -- more than very likely, I think this event will be the largest event in insurance history when you add it all up, both asset side and liability side of the balance sheet. And I think that just raises the specter of risk and the notion of managing exposure. And I think, it will just put a point on getting the right rate to exposure. I think that absolutely continues.
Brian Meredith: Great. Thanks. And then, second question, just on the business interruption. Is it possible to give us a percentage or number of your policies that actually carry a virus endorsement and maybe some perspective on what a typical kind of sublimit on that is? I know it’s typically pretty heavily sublimited.
Evan Greenberg: No. Brian, I’m not going into that level of detail. But, what’s very clear, the vast, vast majority of our policies require direct physical loss. And then, the sublimits vary by whether it’s in a major account or it’s in middle market or it’s a small commercial client. It really varies. And on both -- what we offered and what they bought, because we offer different options.
Operator: And next, we will here from David Motemaden with Evercore ISI.
David Motemaden: Evan, just hoping to get your outlook on D&O and other management liability lines amid COVID, and likely lawsuits alleging, misleading disclosures and other things related to the COVID. I mean, how big of an issue do you think this is for the industry and then for Chubb in particular?
Evan Greenberg: Who knows? So, I’m not going to overly speculate about that? And that’s just -- but out of every event, and every event creates trial bar, ambulance chasing, drive-by shooting where they get most of the money and the supposed aggrieved get very little. I have no doubt that there will be COVID-related D&O suits related to price drop and disclosure, et cetera. And frankly, it is frivolous. It is an unnecessary tax on business and society at this point. It is a waste of time in terms of both resource and time and money and Congress ought to grant immunity to business in some form against that kind of activity that is so counterproductive, enriches one industry at the expense of an economy that is trying to emerge. All stocks dropped broadly. The COVID-19 was no one’s fault. And foreseeability of it, no one is -- no one has that kind of vision. And so, there’s still the notion of buyer beware for basic thing. And in my mind, that’s something that we ought to deal with. And I’m glad you asked that question.
David Motemaden: And then, just also, you guys are obviously I think top five in the workers’ comp market. Just wondering, if you could give us a sense for the percentage of your book that is healthcare and other frontline responders, what sort of exposure you have there?
Evan Greenberg: It’s -- I won’t give you specifics. And only to say though, healthcare is not a meaningful part of our book of business.
Operator: The next question will come from Yaron Kinar with Goldman Sachs.
Yaron Kinar: Just couple of questions. Heard a lot about cyber risk being greater in this environment with a lot of workers working from home…
Evan Greenberg: I can’t hear you. Can you speak more clearly? I’m sorry. 
Yaron Kinar: Can you hear me better now?
Evan Greenberg: Yes, now I can.
Yaron Kinar: So, my first question is around cyber. I know you guys have a large cyber practice. There has been speculation or talk about an increased cyber risk considering that a lot of employees working from home. Do you see that as a large issue? And if so, how can the industry address that?
Evan Greenberg: No, to-date, we’re not seeing a meaningful change in patterns.
Yaron Kinar: Okay. And then, the second question is a more philosophical question. But, I think you’ve seen several insurers as renewals come up, maybe articulate some of the exclusions around pandemic and around COVID-19 specifically and policies. Do you think that that actually could create an opening for the plaintiff’s bar to go after a prior language that was maybe less explicit in the exclusions?
Evan Greenberg: I can’t speak to what people’s manuscript forms look like and therefore whether they’re correcting weaknesses with that. I can’t speak to that. But generally, no, I think COVID-19 or pandemic-related exclusions are just belt and suspenders on policies -- on the basic policies that require direct physical loss.
Yaron Kinar: Okay. If I could sneak one other quick one and I think in response to Brian’s question, if we look at the vast majority of your business interruption policies have physical damage trigger requirements. Can you say anything about what -- how many of your policies have viral exclusions?
Evan Greenberg: No. It really -- no, it’s -- I’ll leave it at that. No. There is -- it’s -- where it’s appropriate, it does.
Operator: And we will take our next question from Ryan Tunis with Autonomous Research. 
Ryan Tunis: I guess, I’ll try one more time on this business interruption. But I mean I guess one question I have is, should we -- is the real question in terms of the business interruption exposure, how many or is it how long business lockdown happen? What’s kind of more relevant in terms of sizing that loss?
Evan Greenberg: Say that again?
Ryan Tunis: Is the question more about the number of policies? Is that sort of what the questioning has been so far that what percentage might actively cover the virus? My question is, how dependent would that loss ultimately be on how long the lockdown is in place, or in other words, how are the caps and limits on that?
Evan Greenberg: There are caps and limits in all policies. And duration of shutdown, it’s just axiomatic in business interruption that length of shutdown can impact and does impact severity of loss pretty basic in any BI cover.
Ryan Tunis: And then, my other question, just taking a step back. I know you mentioned in the journal this morning that you think ultimately the industry will pay out tens of billions of dollars of claims. Is there any reason in your mind that you should think that Chubb’s market share of those claims should be more or less than what its global market share is currently as the global leader in P&C?
Evan Greenberg: I think, Chubb from everything I know, we’re pretty good underwriter. We’re pretty buttoned up disciplined shop. We have good controls within the organization. And I have no reason to believe that Chubb would produce something outsized. Look, this is a significant event for the industry and it’s going to be a significant event for Chubb as well. It’s an earnings event, not a balance sheet event, as I said. And I do think it will be the largest loss, single loss in industry history when you add up both sides of the balance sheet when look at the capital impact to the industry.
Operator: And our final question will come from Larry Greenberg with Janney. Go ahead.
Larry Greenberg: Thank you very much. I just want to be certain that I understand the accounting and the intent of how you’re going to recognize losses in the second quarter. So, should we assume that you will put up a catastrophe loss for what you expect will be your ultimate exposure from COVID, recognizing that so much is changing and there’s a lot of unknowns down the road, but is that your plan?
Evan Greenberg: We will let the facts speak to us. We will put up our loss based on the facts as we know them at the time, when we come to close the books on the second quarter. And I’m not going to speculate ahead right now. And we will then provide our perspective and color around that to help define it and give you a sense. But, I’m not going to speculate on where we’ll be by the end of the second quarter, to give you definitive color on the question you asked.
Larry Greenberg: Okay. And then…
Evan Greenberg: It’ll depend on what we know. Get used to being in a world with a lot of unknowns and a lot of uncertainty right now. And you’re requesting certainty when there’s a great deal of uncertainty. And a lot of that is for worksheet projection related, and I would caution against trying to over speculate on any of them.
Larry Greenberg: Yes. I’m really not asking for any level of certainty. Really just is the intent to put a number for what you -- given your level of information at that given point of time for what you can best estimate as your ultimate exposure.
Evan Greenberg: Exactly right. We will put up and we always do our best estimate of ultimate loss to an event. We always do that. And no different here, we’re consistent that way. So, you can expect that of us.
Larry Greenberg: Thank you. And then, just your -- curious on your thoughts on legislative proposals. That might be productive, probably just prospectively. But, is there any conceivable model where government involvement could be helpful on a retrospective basis?
Evan Greenberg: There is a -- I absolutely see a public private partnership prospectively. I don’t see the sense of one on some retrospective. So, there is -- and I’m going to give you both, very quickly. The retrospective one would say, well, why don’t you pay the BI losses and the government will backstop you 100%? Well, right now, the government’s current program to provide loans that then become grants, if you retain your employees, is a very efficient way versus now we create some BI way. And by the way, BI insurance to adjust the claim requires that you prove it’s an ascertain net loss. You have to prove what your expenses were and what -- and your loss of revenue and all of that. And that’s -- and the adjudication of that is messy and takes time, very -- it’s time consuming and it’s one at a time. And what matters right now is cash flow to small businesses. And so, it wouldn’t be an efficient way of dealing with the cash flow needs. The government’s already created a program. So, what problem are we trying to solve? On a prospective basis, I see it differently. Why doesn’t the industry underwrite pandemic, because of the size of the tail, as I say it as it’s an event that has no geographic or time limits. And so, the tail is so great, the industry has a finite balance sheet that can’t take infinite risk. If the government would take the tail risk and take the significant loss on -- in a pandemic event, the industry I believe could take a retention, and could be underwriting pandemic, a little -- very different but a little like, think about TRIA. And I can tell you, I’m in favor of a public private partnership in shouldering the burden in the future. And Chubb has put together its own proposal and we will be sharing that around shortly with the appropriate parties, both inside the industry and outside the industry.
Operator: And this concludes today’s question-and-answer session. And I would now like to turn the call back to Karen Beyer for any additional or closing remarks.
Karen Beyer: Thank you all for joining us this morning. We look forward to speaking with you again. Have a nice day and stay well.
Operator: And this concludes today’s conference. Thank you for your participation. And you may now disconnect.